Operator: Good morning. I would like to welcome you to our Q1 2025 Earnings Conference Call. Joining us today are Omer Keilaf, Chief Executive Officer, and Eldar Cegla, Chief Financial Officer. I would like to remind everyone that this call is being recorded and will be available on the Investor Relations section of our website at ir.innoviz.tech. Before we begin, I would like to remind you that our discussion today will include forward-looking statements that are subject to risks and uncertainties relating to future events and the future financial performance of Innoviz. Actual results could differ materially from those anticipated in the forward-looking statements. Forward-looking statements made today speak only to our expectations as of today. And we undertake no obligation to publicly update or revise them. For a discussion of some important risk factors that could cause actual results to differ materially from any forward-looking statements, please see the risk factors section of our Form 20-F filed with the SEC on March 12, 2025. Omer, please go ahead.
Omer Keilaf: Thank you, Ada, and good morning to all of you joining us on this call. Today, we will discuss our recent financial performance, tell you about some exciting new developments in our business and outline how these position us to achieve our long-term goals. In the first quarter, Innoviz reported record revenues and gross margin. Q1 revenues were $17.4 million, up approximately 3x sequentially and up approximately 2.5x year-over-year. Gross margin was approximately 40%, both revenue and gross margin were the highest in our company's history, demonstrating our progress in meeting our full year targets and achieving our long-term strategic and financial goals. As we discussed last quarter, in recent months, we've taken several significant steps to strengthen our financial position. In December, we entered into an approximately $80 million NRE payment plan with our key customers. These NREs formed a significant portion of our revenues in the quarter. Just last week, we announced an extension of our NRE payment plan to approximately $95 million with the bulk of cash payments expected in '25 and 2026, a testament to our customers' continued commitment to our technology. Our performance showcases the strength of our financial model. The recently expanded NRE payments plan, the registered direct offering, and our prudent cash management are expected to enable us to cross SOPs and ramp volumes in '26 and 2027. We recently announced our strategic partnership with Fabrinet to launch the mass production of our InnovizTwo platform ahead of our upcoming customer ramps. By working with Fabrinet, we will be able to efficiently scale production to volume with a partner that has automotive grade manufacturing capabilities around the world. Our existing Level 3 and Level 4 programs are on track. We are delighted by the accelerating plans for robotaxi deployments. Yesterday, we announced that we are accelerating LiDAR shipments to Volkswagen autonomous mobility for the ID. Buzz on the Mobileye Drive platform. Ahead of the deployments by MOIA and Uber hundreds of ID. Buzz Shuttles will be equipped with nine InnovizTwo LiDARs each in 2025 ahead of fleet launches in 2026 in Europe and the U.S. Holon and Verne, other Innoviz customer -- customers through the Mobileye Drive platform are both expected to break ground on manufacturing facilities for their vehicles in the U.S and Europe. Elsewhere, we continue to make progress with new customers. We are excited about our expanding collaboration and growing momentum with NVIDIA on the Hyperion platform, as well as our progress with a major OEM evaluating the solution. We are also seeing strong and growing traction in automotive, where our auto grade technology could generate significant value for customers. We are in discussions with several integrators who are interested in deploying our LiDARs into their customers' applications which targets smart city ground truth, and safety. We are shipping samples and have developed especially tuned software and hardware kit for this market. All told, we are off to a very strong year. Before I dive into the details, I'd like to take a few minutes to talk about our mission. Following a record breaking financial quarter, by several significant operational and business milestones, I believe now is an ideal moment to discuss Innoviz's origins, and where we are headed. When we founded this company, we wanted to enable safe autonomous driving by creating the best LiDAR in the market. And we delivered on that commitment. With the InnovizOne, we enabled VW offer safe autonomous driving in its i7 series vehicles. With the InnovizTwo they're offering the market significantly improved performance and cost. And our customer engagements are a strong testament to the product's technical superiority. In order to truly deliver on our vision for safe autonomous driving 4 years ago, we set our mission the ability to work directly with automotive OEMs as a Tier 1 supplier. We have since achieved this goal. Now we partner directly with some of the world's largest automotive manufacturers as a trusted Tier 1, clearly demonstrating our ability to collaborate with them at the highest level. We've now come to the next stage, evolution as a company and are ready to write the next chapter in the Innoviz story. Becoming the world's premier large scale supplier of best-in-class LiDAR solution for autonomous driving and beyond. As we forge forward, we are taking the steps needed to achieve this goal as you saw from our recent announcement, our partnership with Fabrinet should allow us to efficiently ramp up our designs to volume and meet customer demand for years to come. We have a proven record of delivering to our commitments, and are excited about this next stage of our journey. Now let me begin by telling you more about our Q1 financial results. We reported revenues of $17.4 million, which is an all-time record for Innoviz. It's almost 3x better than the last quarter, and approximately 2.5x better than Q1 of 2024. The revenues were driven by a combination of NRE payments, under the approximately $80 million payment plan that we initially announced in December since expanding to approximately $95 million. As a reminder, the NRE payment plan is the outcome of development activities that Innoviz is performing for its key customers. NREs support our operations ahead of these customers' SOPs and the bulk of cash payment from the plan is expected in '25 and 2026. During the quarter, revenues also benefited from sales of LiDARs to new and existing customers. We reported gross margin of 40% supported by positive contributions from NREs this gross margin level was also a record for the company. Going forward, we will continue to manage our spending closely and maintain our focus on profitability. We grew our cash position ending this quarter with $85.4 million in cash and cash equivalents, our cash balance included the proceeds of the registered direct offering that we completed in February. Bolstered by our strength balance sheet, and ongoing customer engagements, we are well-positioned to support the product ramps that we expect over the next 2 years and to pursue new opportunities. Turning now to our production capacity expansion. We believe our financial performance thus far in 2025 driven by a combination of NREs and LiDAR sales, is indicative of our customers' commitment to our products. We recently announced that to support our volume ramp, we selected Fabrinet as our manufacturing partner for the InnovizTwo platform. Fabrinet would provide end-to-end manufacturing for both the InnovizTwo Long range and InnovizTwo short to mid range LiDAR's. Fabrinet will use our production methods using the design, and process flows that we developed here at Innoviz. Fabrinet's expertise in automotive grade manufacturing and its global footprint of manufacturing sites spread across the U.S and Asia will enable Innoviz to cost effectively, scale production to volume and accelerate revenue generation. Our collaboration will allow us to meet the demands of our current and future customers for years to come, while providing flexibility. Fabrinet's facilities have passed rigorous audits by several leading global OEMs under the German automotive VDA 6.3 standard. And our customers are very pleased with our choice of manufacturing partner. They are all familiar with Fabrinet, and view this as a further assurance of our ability to meet their volume ramp requirements. The Fabrinet team has been at our Israel site working alongside our staff to master our product and process. We expect our capacity to increase by an order of magnitude in 2025 and the production line to be fully ramped in 2026, enabling customer SOPs and volume ramps. Moving on to our programs. We continue to be deeply engaged with our Level 3 and Level 4 programs partners. We are especially encouraged by the accelerating plans to deploy robotaxis around the world. With production ramping at our Fabrinet facility, we will be able to serve these deployments with our growing capacity. As you saw in our press release yesterday, we're accelerating the delivery of our newly designed LiDAR platform to Volkswagen autonomous mobility we're tremendously pleased with this ramp in our collaboration with Volkswagen in support of MOIA's planned expansion in multiple European and U.S cities starting in 2026. Ahead of the fleet launch, hundreds of ID. Buzz Shuttles will be equipped with a newly designed suite of Innoviz routers in 2025. Additionally, Uber and Volkswagen announced their partnership to deploy a fleet of ID. Buzz vehicles in Los Angeles in 2026 and more U.S. Cities down the line. Recall that the ID. Buzz which is based on the Mobileye Drive platform, has 9 InnovizTwo LiDARs per vehicle. Three long range and six short to mid range. Other expanding robotaxis programs include Holon and Verne, which our customers -- we previously announced on the Mobileye Drive platform. Holon is breaking ground on a facility in the U.S to build its autonomous vehicles. Which like the ID Buzz, is planned to employ 9 InnovizTwo LiDARs each. Production is slated for 2026. Verne has also started construction on a manufacturing facility for its autonomous vehicles in Europe further highlighting the growing adoption of robotaxis around the world. As we advance our programs with our existing Level 3 and Level 4 customers across the different platforms, we continue to robust RFI and RFQ activity. And are in various stages of sourcing process with several OEM. Last quarter, we told you about our relationship with NVIDIA, since then, our collaboration has expanded. We are seeing growing momentum with the Hyperion platform. The benefits of partnering with a platform provider NVIDIA's capabilities are clear, as multiple OEMs are evaluating the Hyperion for integration into their vehicles. We are extremely pleased by the recent progress we've made with major OEM on this platform. In addition to the continued traction we're seeing in the automotive space, we are now increasingly targeting nonautomotive applications as well. The expanding capacity that we will have through [indiscernible] has the potential to allow us to grow our available market in a segment where we believe our LiDAR technology likely outpaces the existing competition. We view this as a great opportunity to generate better customer value through our short to mid range and long range solutions, which outperform the devices currently available to the nonautomotive market. Additionally, bringing auto grade products to this market gives customers a new level of reliability this has been a pain point. We are in a serious discussions with several integrators around specific projects in areas such as smart city, run through monitoring, and safety. We are -- we have started shipping samples and launching a version of our products specifically tuned for these markets as well as software and hardware kit. Several of our partners are already showcasing products featuring [indiscernible] to their customers. We are very optimistic about our opportunities for growth in this segment driven the strength of our solution and look forward to updating you as the year progresses. I'd like now to take a few minutes to share some updates on our technological advances, which are underpinning the success we are seeing with customers. We've reached point of freeze, and are building our first c sample at Fabrinet. We have frozen the design of the InnovizTwo with specs that or exceed the requirements of the automotive OEMs. We've been able to demonstrate unprecedented performance compared to our previous products, such as range performance of 300 meters at 10% of activity under full sun conditions. This is a testament to our ability to continuously improve our product and maintain our technology leadership. We are now focusing on higher level KPIs related to image quality, uniformity, accuracy, reliability, always on availability, and resilience. That are required to enable mission-critical performance Level 3 and level Four applications. These are the KPIs that our customers are now targeting and when we demonstrate our capabilities around these next level KPIs, customers are deeply impressed. As you know, we never stay put and are already making progress on our next generation slim design, the InnovizThree. We will share more with you later this year. Now let's move on to our outlook, driven by the NRE payments that we expect in 2025, combined with sales of LiDARs, we continue to expect more than twofold increase in our revenues year-over-year for 2025 at $50 million to $60 million. For the full year, we expect revenues to be back end loaded due to the lumpiness of customer timelines. We also expect to see some fluctuations in margins. Our continued focus on tightly managing expenses as well as the actions we took in the first quarter is expected to drive down our cash burn over the course of the year. On the operational front, in 2025, we continue to target 1 to 3 new programs. Last quarter, we noted that we expect $20 million to $50 million in additional NRE bookings. As you saw, we already locked in a nice portion of that. Before I turn it over to Ada, let me briefly touch on the subject of the U.S tariffs. The situation remains very dynamic around how and when and even if the tariffs will be applied. What we can tell you is that at this time, we expect the tariffs impact to be limited. We are continuing to closely monitor the situation and have the flexibility to adapt as needed given the timing of ramps, our relationship with Fabrinet and their multiple manufacturing locations. And with that, I'll turn it over to Eldar to talk about our financials.
Eldar Cegla: Thank you, Omer, and good morning, everyone. As we noted last quarter, in the past several months, we have strengthened the financial foundation of our company and have made meaningful strides on our paths to breakeven and profitability. The result we reported for the first quarter demonstrate the impact of the NRE payment plan on our revenues and our balance sheet reflects the proceeds of the registered direct offering of our security that we closed in the first quarter. We ended Q1 with approximately $85.4 million in cash, cash equivalents, short-term deposit and marketable securities on the balance sheet. For Q2, we expect strong cash inflows reflecting robust trade receivables with cash expected in the single digits. We look forward to continued balance sheet strength further aided by the effects of our operational realignment in Q1. Gross margins in the quarter was approximately 40%, a dramatic improvement over 8.9% in the previous quarter. Going forward, we expect margins will continue to be rather lumpy. This is due to the product ramp timelines and NRE flow based on our customers' milestones. For the full year, we continue to expect gross margins to be positive. Looking into the remainder of 2025 and beyond, we remain confident in our ability to manage our expenses effectively and keep our burn rate down on the annualized basis. Now turning to the income statement. Our Q1 revenues of $17.4 million set a record for the company, driven by the contribution of NREs as well as sales of LiDARs. Our operating expenses for Q1 were approximately $21 million, a decrease of 34% from $31.7 million in Q1 2024. This quarter's operating expenses included $3 million of share-based compensation compared to $5.9 million in Q1 2024. Research and development expenses for Q1 were $14.8 million, a decrease from $23.8 million in Q1 2024. Largely related to the allocation of direct costs to COGS under the NRE payment plan. The quarter's R&D expenses included $1.9 million of share-based compensation compared to $3.8 million in Q1 of 2024. To conclude, Q1 represent a record quarter of robust performance for both revenues and profitability perspective. We are encouraged by the ongoing strengths of our expense management and ability to consistently meet or exceed our revenue guidance. Looking into Q2, we are focusing on our future ramping InnovizTwo and securing additional design win as we reduce cash burn and maintain a strong balance sheet. And with that, I'll turn the call back to Omer for a few closing remarks.
Omer Keilaf: Thank you, Eldar. Before I wrap up the call and open for Q&A, I wanted to recap some of the recent developments. We reported a record financial quarter with revenues of $17.4 million and gross margin of 40%. We announced our partnership with Fabrinet, which should help us efficiently bring the InnovizTwo product platform to mass production. We extended our NRE payment plan with key customers from approximately $80 million to approximately $95 million with the majority of cash payments expected in 2025 and 2026. We are pleased by the accelerating adoption of robotaxis powered by Innoviz Technologies around the world. We are accelerating delivery of our devices into the test leads as deployments ramp at a faster pace than we previously anticipated. Our collaboration with NVIDIA on the Hyperion platform is expanding and multiple OEMs are evaluating it for integration. Our technology is gaining traction in automotive applications, offering customers significant value with our auto grade devices and we are engaging with several integrators around specific projects. We continue to make excellent progress on the technological front and are enabling KPIs related to image quality, uniformity, accuracy, reliability, always on availability, and resilience. That enable mission-critical performance in Level 3 and Level 4 applications. Having delivered on the goals we set for ourselves since our founding, we look forward to the next stage in our company's growth as we focus on becoming the world's premier large scale provider of best-in-class LiDAR solutions for autonomous driving and beyond. With that, operator, let's open it up for Q&A.
Operator: Thank you. [Operator Instructions] Our first question today comes with -- comes from the line of Mark Delaney of Goldman Sachs. Please go ahead.
Mark Delaney: Yes. Thank you very much for taking the questions, and congratulations on the good 1Q results. First question is on robotaxis. In addition to the VW announcement that uses Innoviz LiDAR, Uber has announced robotaxi plans with May Mobility, Pony.ai, WeRide and Momenta for programs in the U.S., Europe and the Middle East. When you think about the broader set of AVs that could be deployed globally, excluding China, what kind of share and market position do you think Innoviz will have?
Omer Keilaf: So right now, we are working with the -- I believe the strongest platform players in this area. You can see the way that Mobileye able to gain more partners other than Volkswagen through partners like Holon and Verne. I think that the relationship -- the new deal between Uber and Volkswagen is expecting to allow Volkswagen to scale faster. Haven't -- since the Trump administration basically removing the barriers in terms of the amount of autonomous taxes which are allowed on the road, it was, I think, increased from 2,000 a year to around 100,000 a year. In a way it kind of started a race. Meaning that, up until a few months ago, many robotaxi companies were held from scaling because of that limitation. Now that this limitation has been removed, you will start to see a race in which companies will try to take cities. There will be a point in time where companies, cities that will be overpopulated with taxes, services, will not allow to new players to enter. I think the first mover advantage, is super important. The fact that the first over taxes that are going to be on the road are going to be equipped with Innoviz riders will give us a tremendous advantage, and we expect to be a meaningful player in that area.
Mark Delaney: Thanks, Omer. My other question was on the financials. The gross margin in particular was very strong, much higher than we had been estimating. Hoping to better understand what type of gross margin and EBIT margin you think NRE programs will typically have on average maybe over the course of 1 to 2 years. And specifically, when you do see NRE revenue and with what you saw in the first quarter, was there anything unusual in 1Q in terms of when you saw costs compared to the timing of the revenue? Thanks.
Eldar Cegla: Yes. So Q4 gross margins as said, was 8.9% and indeed, this quarter, it's 40%. I think the NRE is always positively influencing the gross margin. So I don't think that over time, you will see such a high gross margins. But definitely, very positive and you can maybe not expect these levels, you can definitely expect positive and relatively high once NRE is kicking in, like we did this quarter.
Mark Delaney: And, Eldar, just to make sure I understand, what was unusual about the margin associated with the NRE revenue this quarter? I mean, I understand the timing will be lumpy of when you see NREs, but why the margin unevenness?
Eldar Cegla: Because of the relative percentage of NRE versus units. So most of the revenues, the vast majority that was NREs, and that's why it pushed our gross margins up.
Mark Delaney: Okay. Thank you.
Operator: Thank you. Our next call comes from the line of Jash Patwa of J.P. Morgan. Please go ahead.
Jash Patwa: Hi, good morning and thanks for taking my questions. Congratulations on all the progress during the quarter. I'd like to start a question -- I'd like to start with a question on tariffs. I appreciate that you mentioned that tariffs are unlikely to have a material impact in the near-term. But maybe if you could just clarify which category test and series LiDAR shipments fall under. Are they included within the HSN category subject to the auto specific 25% tariffs? Or are they affected by the reciprocal tariffs? Additionally, if you could just provide some insights into any preemptive actions the company has taken to mitigate the impact of these tariffs, that would be super helpful. Thanks, and I have a follow-up.
Omer Keilaf: So as far as we are concerned or too far as our knowledge and our analysis, we do not fall under this 25% tariff. We are an automotive component, which does not suffer from these kinds of -- is not impacted by such tariffs. We are monitoring it. We believe that the impact will be minimal, hopefully, up to none. We still think these tariffs are in the making or it's not clear or the dust needs to settle in order to understand where it falls. But, again, we think the impact is minimal to none. But maybe just to add, Fabrinet has different facilities around the world, including in the U.S. By the way, they also have in Israel. And therefore it gives us a very flexible, an easy way to deal with any future issues in this manner.
Jash Patwa: Understood. That's very helpful. Just as a follow-up, could you provide some more insights into your partnership with NVIDIA on the Hyperion platform? What factors have positioned Innoviz as a leader in this collaboration? And are there any development milestones or technological challenges that still need to be addressed? Relatedly, curious if you are the reference LiDAR sensor for this platform as well? Thank you.
Eldar Cegla: Yes, happy to explain. I'm asked about this topic many times, and I would be happy to actually provide more color. So basically there are two platforms that people are familiar with when it relates to NVIDIA. The more known platform which people kind of hear about it more in a lot is the NVIDIA drive. NVIDIA has two business models. One is when they are providing an open source platform where they sell chips to different companies. And basically any company who wants to develop their own software stack can use the NVIDIA drive open source. There are many LiDARs that are part of the drive and you probably saw many announcement about LiDAR companies partnering with NVIDIA on the drive platform. It's very different than the Hyperion. The Hyperion platform is a full stack solution that NVIDIA is offering themselves to customers. So whenever a customer wants to buy the full stack solution from NVIDIA, it is NVIDIA decision on which sensors are included in this platform. And in the cases where NVIDIA is offering Hyperion to customers, outside of China, they are offering it based on Innoviz, InnovizTwo. And therefore, we are in basically daily discussions with NVIDIA and customers on the integration of the InnovizTwo into the platform and into these cars. So, basically, you can see this as a very important milestone for us in terms of our ability to scale through partners. We have the same engagement with Mobileye. As you are aware, we're are part also of the Mobileye Drive. Same name, but different platform were Mobileye is winning deals with the Mobileye Drive, and there's one platform that one customer that is -- that they are alluring to in the future. Every time where such a customer is speaking, NVIDIA Mobileye Drive, we are part of it, and we expect that once -- one of these customers will do the nomination of the platform, we will be able to benefit from it. There is one specific customer which we are engaged for a very long time now, and there are several that are reviewing this and we are expecting to start these discussions as soon as well.
Jash Patwa: Understood. Thanks, Omer and Eldar. Good luck.
Eldar Cegla: Thank you.
Omer Keilaf: Thank you.
Operator: [Operator Instructions] Our next question today comes from the line of Ryan Casey of WestPark Capital. Please go ahead.
Casey Ryan: Hello, gentlemen. Great quarter. Great quarter.
Omer Keilaf: Thank you.
Casey Ryan: Your press release notes record revenues that I know NREs are a big part of that. Would you care to comment about even if they're sample unit shipments, was it also a record quarter for product shipments using a broad definition of product shipments?
Omer Keilaf: I don't know if it was record, but it was a very nice number. We are expecting the -- to ramp up Fabrinet and have units out of Fabrinet. Fabrinet is basically increasing our capacity in order of magnitude. So this will be very impactful as we go forward down this year and definitely next year.
Casey Ryan: Terrific. And when do you think, say, the first product unit shipment would come out of a Fabrinet facility, would that be before the end of 2025?
Omer Keilaf: It's going to be in a month.
Casey Ryan: In a month? Okay. Excellent. We've touched on a lot of the bigger questions. In terms of your non auto efforts, I think we've discussed before that industry participants, people looking for solutions may be coming to Innoviz, has that been the case with these new opportunities where people have come to you and ask for the solution? Or are you starting to actively pursue opportunities on your own directly as well in terms of reaching out to those industries.
Omer Keilaf: So, basically, the -- our go-to-market is through integrators and distributors that are approaching customers themselves. There is a long list of applications which each one requires specific, I would say, insights and user experience and basically, we are providing these companies. We support their needs in terms of integrating into the LiDAR, but they can benefit from the advantages of higher performance of the sensor to provide more value to their customers. As such, we barely need to do or we don't need to do any specific tailoring to any specific application. The LiDAR is highly, flexible in terms of its ability to provide different configurations. And, therefore, it doesn't require us any meaningful effort. In many cases, with these kind of integrators, we are displacing existing solutions that are short in performance. And by using our sensor, we are able to provide a better value to their customers. So even in terms of educating them or training them to understand how to work with LiDAR, it's barely needed.
Casey Ryan: Okay. Terrific. That can be a sizable opportunity. And when you say displacing existing technologies, I'm assuming you're talking about cameras and radar and things like that, not necessarily other LiDAR solutions today.
Omer Keilaf: Actually, there are -- we found, I would say, different industries that are already well educated above the benefits of using LiDARs, and some of them are already using LiDARs.
Casey Ryan: Okay.
Omer Keilaf: But with the product that we can offer them, they can achieve more KPIs and better products -- and basically better capabilities.
Casey Ryan: All right. Terrific. Thank you for clarifying and expanding on those points. It was a really terrific quarter and a great start to the year. Congratulations.
Omer Keilaf: Thank you very much.
Operator: Thank you. Our next question comes from the line of Kevin Garrigan of Rosenblatt. Please go ahead.
Kevin Garrigan: Hey, Omer. Hey, Eldar. Thanks for taking my questions and congrats on the progress. Hey, going off of Mark's earlier question, looking at your pipeline, are you seeing a growing number of robotaxi RFQs? Or programs kind of in the early stages? Or is a lot of your pipeline still geared toward L3 programs?
Omer Keilaf: It's -- okay. I would describe it this way. You have the traditional OEMs generally focusing on Level 3. And then you have, I would say, more of the technology companies who are trying to develop platforms, that could fit into different types of vehicles. It could be robotaxis. It could be shuttles. It could be trucks, and it could be also off road vehicles. So I would say it's kind of, 50-50. There are many that are, as you know, some of the programs that we are working on are expected to launch already next year. And we do feel that the kind of the race has started in the sense that once those cities will be populated with robotaxis, that will create more tension and stress on some of the other players due to the congestion that might happen once they will start to scale. And therefore, we do see more and more Level 4 players kind of looking for a solution that are automotive grade geopolitically kind of free and providing them, I would say, there are some advantages related to our sensor. I think we talked about that in previous quarters about our ability to work in very challenging environments such as rain, contamination, and some of the fleets that you might see today are using sensors that are allowing them work in clear sky situation and they understand that once they'll need to operate them in scaling, more challenging environments, they need to find a solution that is much more robust. These are the new KPIs. Like, we're in a new stage where just talking about range and resolution is not enough. Customers are much more aware of industrialization, on quality about resiliency, It sounds like buzzwords, but this is kind of like real life thing. Eventually the product needs to be super reliable and they become much more aware of these topics than they were before. And I think this is kind of where we shine and see opportunities to display some of the sensors that were used so far for R&D purposes.
Kevin Garrigan: Yes, that makes a ton of sense. Okay, great. And then on the growing traction smart applications, can you just talk more about how big you expect the market for smart applications to become? And do you see Innoviz kind of spending more on developing software capabilities in this space?
Omer Keilaf: So there are different layers of software when you talk about nonautomotive applications. As you know, in the automotive sector, we are developing the perception software which is needed for object detection classification. We actually have a product running on the road today? VW is running their Level 3 vehicles not only with our LiDAR, they're actually driving autonomously using our perception software. You can imagine the level of effort and scrutiny that we had to pour in to get to automotive grade capabilities of such a software. And that gives us a big advantage when it comes to different -- other different applications that once high reliability and our uniqueness comes in our ability to provide perception over our sensor. I would say we try to be separated from the layers that are related to the specific KPIs that might be interesting for a very specific application as bridge collision or logistics kind of maneuvering. So this is -- these are where we are trying to cut barriers between us and the integrator, and we try to do something that is as scalable as possible. So I do believe that our software will continue to evolve and providing more tools that we can offer our partners to use in their applications. So I believe that our software is still going to be a very strong, I would say, offering to our partnering -- to our partners who eventually are doing the integration of their software to their customer environment.
Kevin Garrigan: Perfect. Thanks, guys, and congrats on the results.
Omer Keilaf: Thank you very much.
Operator: Thank you. You have no further questions. Please proceed.
Omer Keilaf: Okay. And with that, thanks again to everyone for joining us today. We look forward to updating you next quarter on the continued progress we are making here at Innoviz. We will be participating in several investor events over the next month and look forward to speaking with many of you there. Thank you very much.